Operator: Ladies and gentlemen, thank you for standing by. My name is Lisa and I'll be your conference operator today. Welcome to the Fortis Q4 2018 Conference Call and Webcast. During the call, all participants will be in a listen-only mode. There will be a question-and-answer session following the presentation. [Operator Instructions] At this time, I would like to turn the conference over to Stephanie Amaimo. Please go ahead, Ms. Amaimo.
Stephanie Amaimo: Thanks Jessica, and good morning, everyone. And welcome to Fortis' 2018 fourth quarter and annual results conference call. I'm joined by Barry Perry, President and CEO; and Jocelyn Perry, Executive VP and CFO; other members of the senior management team, as well as CEOs from certain subsidiaries. Before we begin today's call, I want to remind you that the discussion will include forward-looking information, which is subject to the cautionary statement contained in the supporting slide show. All non-GAAP earnings measures referenced in our prepared remarks are reconciled to the related US GAAP financial measures in our 2018 annual MD&A. Also, unless otherwise specified, all financial information referenced is in Canadian dollars. With that, I will now turn the call over to Barry.
Barry Perry: Thank you, Stephanie. And good morning, everyone. 2018 was another successful year at Fortis on many fronts. During the year, we advanced our long-term growth profile by increasing our five year capital plan to CAD 17.3 billion, a 20% increase over the prior year's plan. The plan is driven by regulated investments in grid modernization, the delivery of cleaner energy and natural gas infrastructure. In 2018, we invested CAD 3.2 billion in our systems, marking our biggest capital program to date. This capital was invested at our utilities to enhance the service we provide to our customers, with an eye to delivering energy in a safe, reliable and affordable manner. For our shareholders, this translated into CAD 1.1 billion of earnings, representing CAD 2.59 a share or CAD 2.51 on an adjusted basis. We are also pleased with the progress we've made to enhance our balance sheet. We now have a full year of US tax reform behind us and we have completed the asset sale portion of our five-year funding plan. Beyond our financial accomplishments, we successfully transitioned key leaders, including the appointment of Jocelyn Perry to Executive Vice President and CFO following the planned retirement of Karl Smith; the appointment of Jim Reid to Executive Vice President and Chief legal Officer and Corporate Secretary; and the appointment of David Hutchens to Executive Vice President, Western Utility Operations.  These key leadership changes were seamless and a result of the combined efforts of the board and management on succession planning. On the sustainability front, we issued our first sustainability report in 2018, covering our 10 utility operations. Our commitment to sustainable practices has remained front and center, while serving our communities in North America. Lastly, with our 5.9% increase in the dividend paid in fourth quarter, 2018 marks 45 years of consecutive dividend payment increases. This represents one of the longest records for a public company in Canada. The confidence we have in our capital plan and the associated rate-based growth allows us to extend the 6% average annual dividend growth target to 2023. Our success would not be possible without the hard work and dedication of our 8,800 employees. Moving forward, we are well-positioned to execute on our strategy of growing our regulated utilities across a diversified portfolio. I'd like to take a minute and talk about our recent announcement to sell our interest in the Waneta Expansion hydroelectric project in British Columbia. At the end of January, we announced that we had entered into a definitive agreement with Columbia Power Corporation and Columbia Basin Trust to sell our 51% interest in the Waneta expansion for approximately CAD 1 billion. CPC and CBT are our partners on the Waneta Expansion and currently own 49%. At our fall investor day, we indicated that non-core asset sales were expected to fund CAD 1 billion to CAD 2 billion of the CAD 17.3 billion five-year capital plan. The Waneta Expansion sale, once finalized, will complete the asset sale portion of the required funding and will assist in financing the substantial growth occurring in our regulated utility businesses. We expect to close the transaction in the second quarter of 2019. As a reminder, the Waneta Expansion went into service in 2015. And our investment is just under CAD 500 million. By completing the asset sale early in our five-year planning period, we were able to take advantage of strong valuations in the market today and eliminated the need to issue incremental equity to fund the capital plan. The sale is expected to strengthen our balance sheet, specifically as it relates to the holdco debt to total debt measure. At Fortis, we pride ourselves on doing what we say we are going to do. The Waneta Expansion sale is a good example in action. And to further support this, let's take a quick look back at our performance. We have a good track record of delivering strong results. Over the past five years, we closed two of our largest acquisitions to date, UNS Energy and ITC, and subsequently shifted our focus to growing our existing regulated utilities. This strategy resulted in strong adjusted EPS growth over the past five years, with a compound annual growth rate of over 8%. Excluding acquisitions, rate base at our regulated businesses grew at a compound annual growth rate of almost 6% over the past five years. Our dividend payout ratio has consistently been in the mid-60s to low 70s range and we expect to deliver our 6% annual dividend growth target while maintaining similar dividend payout ratios. We have grown to be one of the most low risk, highly diversified utility companies in North America. Once the sale of Waneta Expansion is completed, our operating assets will be nearly 100% regulated. Our long history of achieving superior shareholder returns continued in 2018, with a one-year total shareholder return of 2.8% exceeding the negative returns generated by the S&P TSX Composite Index and the S&P TSX Cap Utilities Index of 8.8% and 7.7% respectively. Looking back over a longer time period, Fortis has delivered average annual total shareholder returns of 12.4% for the past 20 years. I want to say that again. Looking back over a long time period, Fortis has delivered average annual total shareholder returns of 12.4% for the past 20 years, far exceeding the returns generated by the benchmark indices.  This outperformance is very consistent throughout the years, also occurring over the past five and ten-year period. One of our biggest accomplishments in 2018 was the delivery of a new five-year CAD 17.3 billion capital investment plan. The capital program is virtually all regulated with 99% of the capital planned for our regulated businesses. The plan consists of a diverse mix of highly executable, low risk projects needed to maintain and upgrade our existing infrastructure. Only 10 projects in our five-year capital plan have a value of CAD 150 million or more. Geographically, the capital plan is weighted towards the US, with 55% to be spent at our US utilities. This is followed by 42% in Canada and 3% in our Caribbean operations. One of the projects that we added to our new five-year capital plan is the Wataynikaneyap Power transmission project in northern Ontario. As you may recall, this project includes building 1,800 km of transmission lines to connect 17 remote communities to the Ontario grid. Key milestones achieved in 2018 included the CAD 1.6 billion funding agreement with the governments of Canada and Ontario as well as connecting the first community to the grid in December. In January of this year, Wataynikaneyap announced the extension of its partnership to include two new First Nation communities, to bring the number of First Nation partners to 24. As part of this agreement, we sold a portion of our ownership in the project to Algonquin, the partner of the two new First Nation communities. Our ownership in the project is now 39% and our capital investment is expected to be approximately CAD 600 million as previously included in our capital plan at investor day. Remaining milestones for the project include obtaining leave to construct from the Ontario Energy Board, which is expected to be received in the first half of 2019. Beyond the base plan, we continue to focus on finding additional opportunities to the benefit of our customers and shareholders. These opportunities include further energy network modernization investments across the group, the Lake Erie Connector transmission project at ITC, gas infrastructure opportunities in British Columbia, as well as storage, renewables and transmission opportunities in Arizona. We are growing rate base by CAD 9 billion over the next five years to more than CAD 35 billion by 2023, which is equivalent to adding another ITC to the company. This equates to a three-year compound annual growth rate of 7.1% and a five-year compound annual growth rate of 6.3%. These growth rates are aligned with the industry and support our average annual dividend growth target of 6%. As previously mentioned, 2018 marked 45 years of consecutive annual dividend increases. This is a record we are very proud of and one that we intend to continue. Our strong growth profile, coupled with our highly regulated and geographically diversified transmission and distribution business gave us the confidence to extend our dividend guidance to 2023. This guidance equates to a dividend of CAD 2.27 by 2023. I'll now turn the call over to Jocelyn for an update on our fourth quarter and annual results.
Jocelyn Perry : Thank you, Barry. And good morning, everyone. Our fourth quarter and annual financial results reflect strong performance at both the regulated and non-regulated businesses and our continued investment at our utilities. Before speaking to the financial results, I wanted to briefly note that, starting this quarter, we are removing the Aitken Creek unrealized mark-to-market gains and losses from adjusted earnings and EPS. As you may recall, the Aitken Creek business hedges its physical gas inventory with forward financial instruments. US GAAP requires these financial instruments to be valued at market each reporting date. And this creates unrealized gains and losses. As I discussed on previous calls, these accounting adjustments are purely timing. So, all comparative earnings and EPS figures have been restated to remove the unrealized gains and losses from that period. Reported earnings per common share of CAD 0.61 for the fourth quarter improved CAD 0.29 compared to the prior-year while adjusted EPS of CAD 0.56 was down CAD 0.02 compared to the fourth quarter last year. Adjusted EPS for the fourth quarter was negatively impacted by two key drivers – US tax reform and the recognition of the reduced independence incentive adder at IPC. I will get into these impacts on the next couple of slide. For the full year, reported EPS of CAD 2.59 was up CAD 0.27 compared to the previous year and adjusted EPS was higher by CAD 0.04 reaching CAD 2.51. Investments in our regulated subsidiaries, strong performance at the Aitken Creek natural gas storage facility and lower income tax expense drove this increase. Again, US tax reform impacts and the reduction in the independence incentive adder at ITC partially offset this increase on an adjusted EPS basis. Looking at slide 13 and the fourth quarter results, adjusted EPS decreased by CAD 0.02 compared to the fourth quarter of 2017. This decrease was mainly driven by the timing of the 2018 US tax reform impact, which lowered EPS by CAD 0.03 in the fourth quarter.  Additionally, we booked a CAD 7 million adjustment at ITC to reflect the reduced independence incentive adder based on FERC's decisions to reduce the adder to 25 basis points. This decision was retroactive to April 2018 and decreased EPS by CAD 0.02 in the fourth quarter. Absent US tax reform and the ITC independence adder adjustment, earnings per common share grew approximately 5% in the fourth quarter over 2017. Corporate improved EPS by CAD 0.02 in the quarter. This was driven mainly by a decrease in income tax expense, partially offset by an increase in the weighted average number of common shares outstanding. At ITC, growth related to the execution of its capital plan and associated increased rate base improved EPS by CAD 0.01 compared to the fourth quarter of last year. Favorable changes in foreign exchange rate resulted in a CAD 0.01 increase in EPS during the quarter. The average exchange rate was CAD 1.32 this quarter compared to CAD 1.27 in the fourth quarter of 2017.  Performance at our non-regulated Energy Infrastructure businesses also improved EPS by CAD 0.01 during the quarter. The impact was mainly driven by an unfavorable tax adjustment in the fourth quarter of last year associated with an increase in tax rates in British Columbia. At our Canadian and Caribbean utilities, EPS decreased by CAD 0.01 in the quarter, mainly driven by higher operating costs at Fortis Alberta associated with an early retirement program, partially offset by rate base growth at the utilities and lower operating costs at FortisBC Energy. Lastly, lower earnings at UNS impacted EPS by CAD 0.01 during the quarter. Unfavorable electricity sales at UNS associated with weather and higher depreciation costs were the key drivers. Now, turning to the annual 2018 results, adjusted earnings per share increased CAD 0.04 to CAD 2.51 compared to 2017. As I mentioned earlier, US tax reform negatively impacted EPS. The impact was CAD 0.05 for the full year, equating to a 2% impact relative to 2017. We previously disclosed that we expected the full-year impact to be in the range of 2% to 3%. In addition, the reduced independence incentive adder at ITC reduced EPS by CAD 0.02 for the year. Again, absent these two items, adjusted earnings per common share increased by approximately 5% over 2017. ITC contributed CAD 0.05 to adjusted EPS, mainly driven by rate-based growth. Our non-regulated Energy Infrastructure assets added CAD 0.04 to adjusted EPS driven by favorable performance at Aitken Creek. Higher earnings at UNS improved earnings per common share by CAD 0.02, driven mainly by a full-year impact of the rate settlements implemented at Tucson Electric Power in February 2017. Performance at our Canadian and Caribbean utilities contributed a CAD 0.02 increase in adjusted EPS. Drivers of the increase included rate base and sales growth, as well as insurance proceeds received at FortisTCI in 2018 related to Hurricane Irma. These positive factors were partially offset by higher operating costs and interest expense at FortisAlberta and FortisBC Energy respectively. Offsetting growth at our utilities was a CAD 0.02 increase in corporate-related costs, driven by higher weighted average number of common shares as a result of our dividend reinvestment plan, partially offset by lower stock-based compensation expense and lower income tax expense. Turning now to the funding required to execute the five-year capital plan. The majority, or 92%, of the funding will be through net cash from operations, including our group proceeds and debt financing at the regulated utilities. At investor day this past fall, we announced that we expected to fund 6% of the plan through assumed asset sales, equating to approximately CAD 1 billion. As Barry discussed, our recently announced sale of the Waneta Expansion complete the asset sale component. Once the transaction is closed, we expect to use the proceeds to reduce holding company debt. In December, we have re-established the at-the-market equity program. The ATM provides further financing flexibility and will remain in place until 2021 unless we request an early termination. Fortis' low business risk profile, driven by geographic and regulatory diversity of our subsidiaries, supports the investment-grade credit ratings that we have today. In 2018, we indicated that US tax reform was expected to temporarily impact our cash flows. Aligned with our expectations, US tax reform negatively impacted our cash flow to debt credit metrics for 2018, but we do expect to meet credit rating agency thresholds in 2019. Our credit metrics are also expected to continue to improve over the five-year plan. This improvement is reflective of our funding plan, including the sale of Waneta Expansion. Holdco debt to total debt is also expected to decrease by 13% through 2023, reflecting a higher proportion of regulated debt to fund growth at the utilities and the use of proceeds from the Waneta Expansion sale. The new capital plan, together with our funding strategy and flexibility provided by the ATM program, fully supports our investment-grade credit ratings. Moving on to slide 17, 2019 looks like another busy year of regulatory activity. Recent regulatory developments include ITC's request for rehearing a FERC's decision to reduce the independence incentive adder to 25 basis points. And that's down from the approximate 50 basis points that ITC was previously earning in rates. We await a decision from FERC on the rehearing request. In November, FERC issued an order providing guidance on its new methodology for establishing ROEs, including addressing the outstanding MISO-based ROE complaints.  Moving forward, FERC is proposing to use an average of the discounted cash flow capital asset pricing model, risk premium and expected earnings methodology in determining new authorized ROEs. On February 13, the MISO transmission owners submitted their initial briefs to FERC. Reply briefs are scheduled to be due in April of this year. We believe the outcome will result in an ROE similar to what we are earning today in rates. We view the new methodology to be constructive as more inputs into the ROE calculation are expected to result in a broader zone of reasonable. We also expect that this will provide more stability to the ROE calculation, which may reduce the number of future complaints going forward. And as a reminder, each 10 basis points change in ROE at ITC equates to about CAD 0.01 annual EPS impact for Fortis. Beyond ITC's ongoing ROE matters, we intend to file two rate cases this year. Tucson Electric Power intends to file a rate case this April using a 2018 test year, with new rates targeted to be effective in May 2020. As you will recall, rates were last set based on the 2015 midyear historical test year. Since then, TEP has invested approximately US$1.2 billion US in capital to service its customers. FortisBC is also targeting to file a multiyear rate plan in early 2019 as the current term will expire at the end of this year. This concludes my remarks. I will now turn the call back to Barry.
Barry Perry: Thank you, Jocelyn. Fortis consists of well-run regulated utilities. Our track record of delivering strong performance for the benefit of our customers, shareholders and employees continued in 2018. Our operating assets are virtually all regulated and we are one of the most diversified utility businesses in North America. Our growth profile is strong with over 7% annual rate base growth expected over the next three years and over 6% annual rate base growth over the next five years. This supports our 6% average annual dividend guidance through 2023. We're also working on incremental investment opportunities not yet included in our capital plan that could provide additional growth. As we look ahead to 2019 and beyond, we remain focused on executing our plans to deliver long-term value for customers and shareholders. I'll now turn the call back over to Stephanie.
Stephanie Amaimo : Thank you, Barry. This concludes the presentation. At this time, we'd like to open the call to address questions from the investment community.
Operator: Thank you. [Operator Instructions]. And our first question comes from the line of Robert Kwan from RBC Capital Markets. Please go ahead.
Robert Kwan: Maybe starting with the TEP rate case, and you had mentioned the amount of capital that's gone in since the last rate case, I'm just wondering, if you normalize for weather and what happened this past year, how far are you behind the allowed ROE? Or is this also about trying to look at rate design and taking a kick at the can at a forward test year?
Barry Perry: I don't think the forward test year will be part of it, Robert. That's sort of a bigger statewide issue. This will be – David is on the call. I'll get him to chip in a second. But this will be a pretty normal rate case filing to update our rates for the capital that we've invested since the test year. Clearly, US tax reform has happened in the middle of that as well. And there are various riders at TEP – so, it's not necessarily all the capital – there's not a simple equation to say, well, take out 50% of the capital and that's your equity and multiplied by the return. It's not quite as simple as that to get to the numbers in terms of what the growth year-over-year would be post the rate case. David, maybe you can add some color to that as well?
David Hutchens: Sure, definitely. Thanks for the question, Robert. Yeah, this is not going to be a fancy rate case by any means. We're not going after complicated rate design issues. It's really just about trying to get a real heavy capital plan recovered as quick as possible, reset the riders that we have. We're not going down the road of trying to do anything as far as a forward test year as well. So, as Barry mentioned, that's definitely a statewide effort that would actually require some changes in commission rules. So, kind of some of the standard stuff, cost allocation, [indiscernible] as well, but nothing too out-of-the-box.
Barry Perry: Robert, I will say that in terms of Arizona, we continue to be very, very optimistic about the growth in the business there as we transition away from coal and add more renewables, transmission to the fleet, and we are starting to really focus on the storage angle as well. So, these are some really positive long-term trends for the business in Arizona.
Robert Kwan: Got it. Do you have the number as to – on a weather-normalized basis, how far you were behind the allowed ROE?
Barry Perry: No, we don't have that available right now, Robert. So, I'll have to get back to you.
Robert Kwan: Okay. Turning to asset sales and Waneta completing, what you needed to do as part of funding, Barry, you've talked about seeing the US -- more of your peers, and I'm just wondering, strategically, are you looking at other large asset monetizations to drive your leverage lower to more comparable levels with the US names?
Barry Perry: Robert, I would say – as we said on our opening remarks that we completed the asset funding portion of the plan. But, really, what drove us to look at the Waneta sale was the valuations that we were in the market for those kinds of asset. As the CEO of Fortis, I guess, any public company CEO, with our dislocations in the market that create scenarios that provide valuations, be it well beyond what you would expect normally, we're going to look at those scenarios. I don't see us exiting any of our assets for creating, like, dilutive transactions. But if there are prices available that we can actually do accretive transactions, we'll be looking at them.
Robert Kwan: Got it. Maybe if I can just finish, Jocelyn, a question for you. You outlined the US tax reform impact of 2% this year. Just wondering any update thoughts on the impact going forward as well as the fairly recent release of the anti-hybrid proposals? 
Jocelyn Perry: Yeah. But, Bob, we've looked at that and while some parts of the new legislations will impact Fortis, we don't see, going forward, that it will have any impact on Fortis' EPS.
Robert Kwan: Okay. I guess, specific to EPS, is there anything material then on the cash flow side that you're looking at? 
Jocelyn Perry: No, I don't see anything material on the cash flow side.
Robert Kwan: Okay. That's great. Thank you.
Operator: Our next question comes from the line of hope from Scotiabank. Please proceed with your question.
Robert Hope: Good morning, everyone. Just want to transition over to some of the projects that are not in your capital plan. Just want to get a sense of, if you've discussed the ITC Lake Erie Connector project with the new Ontario government, as well as if there's any updated thinking on the timing of the BC LNG?
Barry Perry: So, Rob, thanks for the question. We're pretty excited about the capital plan that we have. Obviously, CAD 17.3 billion and we're already started on next year's iteration, getting ready for our investor day later this year. In terms of those specific projects, I would say LNG, that continues to be a focus for us. But I would say, given the incident in British Columbia in late last year with the rupture of the Enbridge line, I think a focus on gas infrastructure, the resiliencies of all that has taken a bit of priority for us at this point in time. So, I probably see that surging ahead of – in terms of our priorities of making sure that we are comfortable with our situation with gas supply coming into lower mainland. So, that's taken a little bit of precedence. I do believe that, long-term, there will be opportunities on the LNG side as well.  In terms of Lake Erie Connector, yes, we've had conversations with Premier Ford's government, officials and we continue to have that dialogue. We're very optimistic. And I just think this is a project that has to be built. They're connecting Ontario to the PJM grid. It's a common sense thing. ITC has a very attractive project that's permitted on both sides of the border. But we're still having those commercial conversation about who's going to use that line and pay for it, frankly. And we're not there yet. But we remain optimistic that common sense will prevail really.
Robert Hope: All right. Appreciate it. And then, just to follow-up to your question – on your comments there. Southern Crossing expansion and does the rupture in BC kind of reinvigorate potential expansion there that could actually be quite a material project for BC gas?
Barry Perry: I would say, yes, absolutely. We've always wanted to expand that gas line and create a little more redundancy into the lower mainland. There is also the possibility of increased storage facilities. We just built a large new tank at Tilbury. Doing more of that. We're still contracting for substantial storage outside of British Columbia and we really do need to look at these things. And I think that will form part of the future capital plans for our business in British Columbia. I will say, I think our team did an incredible job of managing through that situation. It was touch and go there for a while, especially in those early days. And Roger and his team in British Columbia really did a fabulous job. And hats off to Enbridge as well for quickly restoring the line to a level that allowed us to get through the cold period in British Columbia.
Robert Hope: Thank you.
Operator: [Operator Instructions]. Our next question comes from the line of David Quezada from Raymond James. Please proceed with your question.
David Quezada: Thanks. Good morning, guys. My first question here, just on Wataynikaneyap, I know you brought on a couple new First Nations communities earlier this year. Are there any other First Nations groups kind of in the neighboring areas that could potentially join on to the project and do you expect your ownership stake there, 39%, to hold on where it is?
Barry Perry: I'll let Gary Smith answer. He's overseeing that project for us.
Gary Smith: In terms of additional First National communities, we have all the communities in that area already participating. And the inclusion of the last two, Mish and Saugeen, in the very beginning area of the project will complete the First Nation group that we need. 
David Quezada: Great. Okay, thank you. That's helpful. And then, maybe just a broader kind of industry question. We're seeing a lot of pretty aggressive state-level renewable power targets, notably, I guess, as it relates you guys in New York. Some news there. Wondering how you see that affecting your business at Central Hudson?
Barry Perry: Well, we're big supporters of cleaner energy clearly. And we see it as a big part of our opportunities in Arizona. Also, New York, we're participating a lot in sort of modernizing the grid there to receive a lot of this renewable power. We are also participating in a – with the other utilities in the region in a transco. We're hopeful that we can invest capital in that area as these renewable get hooked up. The other area is electric vehicle charging. We're hopeful we can get involved in that in New York as well. But in terms of actually building windfarms or whatever, I don't see our business in New York doing that. In fact, we'll primarily focus on T&D under the likely construct there. So, getting into generation would be preventive at this point.
David Quezada: Okay, great. Thanks. That's all I had.
Operator: As there are no further questions, I would like to turn the call back to Stephanie Amaimo for closing remarks.
Stephanie Amaimo : Thank you, Lisa. We have nothing further at this time. Thank you for participating in our fourth-quarter and annual 2018 results call. Please don't hesitate to contact investor relations should you have any further questions. Thank you for your time and have a great day.
Operator: Thank you for participating, ladies and gentlemen. This concludes today's conference call. You may now disconnect.